Operator: Good morning, everyone, and welcome to the St. James's Place Half Year Results Q&A. My name is Brika, and I will be coordinating your call today. [Operator Instructions] I will now hand you over to your host, Mark FitzPatrick, CEO at St. James's Place, to begin. So please go ahead, Mark.
Mark Thomas FitzPatrick: Thank you, and good morning, and thank you for joining us today. It's Mark FitzPatrick here. I'll open for questions shortly, but before then, I just wanted to reiterate 3 key takeaways from the half year results announcement. Firstly, SJP is in good shape, performing well and growing. We achieved net inflows that were double what they were in the first half of 2024, and our FUM stood at a record GBP 198.5 billion at the end of June. This is a testament to the value that more than 1 million clients place in their adviser and SJP to help them secure their financial futures. Secondly, a strong period for new business has been mirrored in a strong financial result. Growth in the underlying cash result of 17% was a result of improving new business flows, rising FUM and cost control. This result highlights the benefits of our simple, scalable business model. And thirdly, we're making good progress against our key programs of work and delivering on our strategy. I said 6 months ago that 2025 would be another year of heavy lifting for the business, but we're getting the work done. We're on track to implement simple comparable charges less than a month from now. We're taking costs out of the business, as we said we would, and we're moving forward with a revised approach to our review into historic ongoing servicing. And this means we've been able to release some of the provision we held against this, which we will be returning to shareholders through a buyback. So it's been another period of hard graft but a successful one that positions SJP for sustained growth and success. We've still got plenty of work ahead, but we're confident in our ambition to double the underlying cash result by 2030. So let me pause there and hand over to the operator so that we can open up for questions.
Operator: [Operator Instructions] The first question comes from Andrew Sinclair with Bank of America.
Andrew Sinclair: Three for me as usual, please. First, just there was a big step-up in the cash margin arising from new business as a percentage of gross flows in H1. I know that line is about to change quite a lot post the new charging structure, but just keen to understand why there was such an improvement in H1 this year. That margin in percentage terms has been going down for the last few years, so nice to see a tick up, but just keen to understand a little bit more about what's going on there. Second was just on adviser headcount. Just wonder if you can tell us, in the run-up to the new charging structure and with the productivity exercise, was there any uptick at all in departures in H1? I can see the net growth, but just keen to understand the moving parts. Was there any change in departures in H1? And third was just on the academy, just how many trainees graduated in H1 and how many are in the academy today.
Mark Thomas FitzPatrick: Great. Andy, thank you. Why don't we start off with the -- I'll hand over to Caroline for the element of the new business, and then I'll pick up the adviser headcount in academy.
Caroline Mary Waddington: Yes. Thanks, Andy. So you're right, the margin on new business is higher. So we've had about 23% due to the increase in gross inflows, but it has been higher at like 40%. The rest is operational leverage where we do actually have not everything, not all the costs are actually linear or all connected to the rise with the increase in business. So that's purely what it is, is some fixed costs, and we're getting a positive operating leverage from that.
Mark Thomas FitzPatrick: And Andy, on the adviser headcount over the first half, I haven't seen any shift or change in the underlying patterns of joiners or departures or retirements, et cetera. So it's been -- with these kind of numbers, as you can imagine, everybody has been very busy, heads down, really focusing on clients, really focusing on supporting clients through what has undoubtedly been quite a volatile market, lots of geopolitical and broader uncertainty in the world. And that's the time when clients look to their advisers for support, reassurance, and that's when the advisers really stand up and support their clients in a very meaningful way. So there's nothing in particular that stands out in any of the underlying numbers around adviser headcount. We continue to work with our advisers and with our teams in terms of broader productivity. We are spending time and working hard to try and improve as well some of our technology to make it easier for advisers to spend more time in front of clients and therefore less time on admin and related matters and paperwork, so trying to get the kit and systems to do most of that and to automate a lot of that. And on the academy, the academy continues to be a very, very important part of St. James's Place, not just for us but I think for the whole industry. We attract in a large slice of all the new joiners to the profession. We will continue to do that. We think it is a very, very important role we play, as I said, not just for SJP but for the industry as a whole. The advice gap is enormous in this market, and we need more advisers in the market. We need high-quality advisers to be able to support more and more clients because I think more and more people are realizing they cannot rely upon the state for pensions and the like, and therefore, they need to take matters into their own hands. And generally, you're going to need an adviser to help you do the right thing. So advisers graduating through the year and no major changes on that, and advisers in training at the period end is all kind of in line with what we've seen in the past, no major changes to that component. We will continue to look in the same way as we have with the partner productivity. We're also going to look to see how do we actually try and make sure that we get higher quality through the academy so that more people that join actually make it through towards the end. So that's one of the things we're going to be addressing over the course of the next 12, 18 months, but we're delighted to be bringing more young people into the academy and a lot more women coming in than generally we see across the industry because we're seeing more and more women actually gaining financial wealth, and we want to be able to give clients greater choice about who serves them, who works with them along the way. So we're really pleased that we'll be able to contribute to the profession as a whole, help shape the profession in terms of demographics and in terms of gender mix.
Andrew Sinclair: All great news. Just have you got the numbers by any chance for actually how many people are in it and graduates? Those are things you've given in the past, so it would just be helpful.
Mark Thomas FitzPatrick: Not in front of me here, Andy. I think the general tone that we're trying to do is an element of where we're going with this. It continues to be big, it continues to be important, continues to be something we'll invest in.
Operator: Your next question comes from Nasib Ahmed with UBS.
Nasib Ahmed: Three questions from me as well. Firstly, on just derisking the charge structure change on the 26th of August, can you talk a little bit more about how much testing you've done, how comfortable you are that it's not going to cause any disruption? And maybe within that, kind of talk a little bit about how you've traded in the first month of this quarter. Second question on targeted support and the FCA's kind of ambitions around that. Are you still committed to just face-to-face advice? Or are there other things that you're kind of looking at to support that ambition from the FCA? And then finally, on the provision release, I guess the question is the [ fourth ] interest rate is changing as well as coming down. You've had some experience around kind of paying claimants, but is there -- as you develop more experience, should we expect another reassessment of the provision at some point in the future as well?
Mark Thomas FitzPatrick: Thank you for those broadly three questions. On the simple comparable charging, we have done extensive testing. We did a dress rehearsal of the whole transition recently. That went well. That's given us the confidence to be able to contact clients now ahead of the change, which we have now done, so all clients now informed of the change. So a high level of testing has been done, and we are as confident as you can be on these things going into that public holiday weekend. I'm not minded to give a running kind of synopsis of kind of trading. Suffice it to say, July normally, July, August tend to be the quieter months of the year and as people go away and holiday clients go away on holiday, so you shouldn't be surprised to see that that might be kind of following that kind of broader footprint. But that being said, our partners, advisers are still very busy because there's still a lot of clients and a huge advice gap out there. So the guys are working hard. And we've seen over the first half an increase in volume of cases and, for the first time in a while, an increase in the value, a modest increase but an increase in the value of cases as well. So both are up this half. In terms of the second question around targeted support, technically at the moment, the consultation paper from the FCA does not allow or does not suggest that appointed reps are going to be able to take or go down the targeted support route. Now that's because the rules of -- the legislation has been written limiting what appointed reps can do. Treasury has recently announced that they are going to consider opening that and extending that component. For the time being, we consider that actually, we are -- and it's a key part of our purpose statement that we believe in the power of advice and the value of advice. So we think that actually providing clients with advice is a very, very important thing and providing clients with individualized advice is a very, very important thing. Targeted support, we see is going to be net positive for the industry, for the market, for the U.K., for consumers. Helping people to take -- to start to take a little more ownership and starting to think a little bit more about their investments, that's got to be a good thing. And we're really, really keen to support that. It could in time be on ramp for individualized advice, but we don't expect it in any way to cannibalize our business. We do expect it to get people to start thinking and engaging in a way that they really should, so we see it as a big positive. And in terms of the provision cover?
Caroline Mary Waddington: Yes. So yes, as we said, this is a 2- to 3-year program. I think last year, just as a reminder, obviously, we did a lot of builds into this year and then obviously execution for this year, and then we expect to have a sort of tail next year. I think what's happened in the first half of the year is we have obviously -- we have looked at the FCA industry guidance that came out in February and incorporated that into our redress methodology. And then we've also had more experience as we've gone through the program. So we've incorporated those, and that's how we've calculated our best estimates of the provision now. And obviously, then we have a release from that. So H2, we're going to continue to execute. We will -- with all provisions, we will be reassessing it as we go through and we get more experience. But I'd say this accommodates obviously the FCA guidance and experience to date. So yes, it's -- I'm comfortable where we're at now, but we'll continue to reassess again at year-end. Obviously, if we've got some news, we'll let you know.
Operator: Your next question comes from David McCann with Deutsche Bank.
David Leslie McCann: Congratulations on some decent numbers this morning. Yes, 3 questions inevitably from me as well, please. I'll start with the provision release since that's obviously very topical. I mean can you confirm how much of that release, about 20% release was sort of methodology change from the FCA guidance and so forth versus the experience change that you've got? Is there a way of roughly quantifying that? I don't expect it to be [Audio Gap] And then on that program more broadly, when do you anticipate you'll actually start sending the letters out to the clients which you think are affected more broadly? And then sort of turning to the flow numbers. What drove the improvement, do you think, in net flows in the second quarter? What are the anecdotes you're hearing from advisers on the ground? Is this client appetite? Is it easing cost of living pressures? Is there anything in there related to the upcoming fee structure changes that -- with the incentives that are going to change for both the advisers and the fee [ covers of ] the clients? Is there any sort of front running, if you like, of the charges? Is there anything in the flows for that or -- just curious as to what's causing improvement.
Mark Thomas FitzPatrick: Thank you. David, I'll ask Caroline to pick up the provision release piece first, and then I'll come around to the letters and the flow.
Caroline Mary Waddington: Yes. And David, I'm not going to go into detail. I think look, it is a combination of the two. We take both into account, but I'm not minded to give you the detailed breakdown on that.
Mark Thomas FitzPatrick: David, letters will be going out next week to clients. So the correspondence will be started -- correspondence has been going for a little while, but it will be ramped up under the new methodology from the element of -- next week. So clients will start getting things out, so it will start moving quickly. And on the element of flows, second quarter more generally, I think we saw -- was it 2nd of April Liberation Day, we saw a huge uptick in terms of client questions, inquiries, engagement with advisers. I think that just caused people to take a step back and say, gosh, actually, what am I doing? How am I protected? How am I looking after my affairs, et cetera? So we saw a lot of activity. We've also -- with the government talking about and there's been a lot of speculation about ISAs, what's going to happen there. As everybody knows, we don't offer a cash ISA, but it got people, I think, thinking a lot more about ISAs, and have I used my allowance adequately or properly. And we have seen a -- you would have seen from the numbers an impressive uptick in terms of the investment bonds. And I think that's a consequence of the pensions and the inheritance tax linkage going forward through this government. So it's a combination of factors. I think the U.K. consumer is kind of holding up well. I think last year, earlier this year, seen kind of real wage growth. I think with growing -- potentially growing unemployment coming into the U.K. later on this year, there's a sense of if inflation is high, that's going to give rise to less wage pressure, and that might slow down real wage growth. So it will be interesting to see how that plays out in the back end -- back half of this year, early next year. We are all expecting I think, banks to reduce rates. And I think that lifts up a little bit of enthusiasm and a little bit of confidence. We're seeing a relatively stable housing market. So consumer, I think, has weathered the storm incredibly well in the U.K. The big plea I have for government generally and for Treasury is let's try and create as much certainty and stability. I think extended period of speculation is dangerous and unhelpful. We saw that at the back end of last year for consumers. It may be short term helpful for us, but for the economy and for consumers at large, it's not a great thing. So we're really, really keen on stability and certainty. But that being said, while there isn't a lot of that, we do well. Advisers are there, talking to clients, and generally shakes clients to move or customers to move in a different way. So it's a combination of those. In my wanderings around and speaking with partners around the country and going to visit them in their practices, they're all saying they are super busy. The issues of last year, early last year, are so far in the recesses that clients don't talk about these things anymore. They're really back to talking about them, their affairs, how they protect themselves and what they need to do to look after themselves and their families. So that's a conversation that should be taking place, and that's probably the conversation that got lost for about 12, 15 months over the course of last year.
David Leslie McCann: Great. Any -- and just to confirm, you don't think any of the uptick is to do with the change of the fee structure and potential any sort of short-term moves around that, it's all due to the fact that you've already mentioned?
Mark Thomas FitzPatrick: The big thing to remember, David, is that these are not spontaneous actions from clients. Very few clients wake up suddenly and say, right, I need to do X, I need to do Y vis-à-vis this for this particular part of the world. So at the edges, there may be an element, but we think it's at the edges. We'll only be able to get to see that later on because bear in mind, from a client perspective, the delta is not particularly large. And we're encouraging clients to do things that they should be doing and making the most of tax advantages ideally that they should be taking advantage of that are available. And that's why pensions is still such an important part of the investing landscape.
Operator: Your next question comes from Enrico Bolzoni with JPMorgan.
Enrico Bolzoni: So one, you say that you will introduce a passive range within your Polaris product. So can you give us some color perhaps on whether you see in the immediate term that more as an opportunity or a threat? So I'm thinking, do you see clients that want passive allocation, and because you cannot offer that yet, they are currently allocating somewhere else? Or do you think that that could have a bit of an impact on your margins perhaps and put some pressure there? So that's my first question. My second question is on the dividend policy. You clearly are performing exceptionally well. When shall we expect a potential reversal in the capital distribution policy and perhaps see again higher dividends being paid? And finally, on the cash balances, you had quite a bit of money with Flagstone. Can you give us an update there perhaps on the amount and whether you think that this will eventually move back into investment products anytime soon?
Mark Thomas FitzPatrick: Thanks, Enrico. I'll take the first and third and then hand over to Caroline for the second on the dividend piece. In terms of Polaris Multi-Index, we see it as a net additive because at the moment, for clients who want to have some type of exposure to index tracking funds and the like, we can't offer that today. And therefore, those assets will sit outside of the SJP garden. Ideally, what we'd like to do is be able to extend that offering so that clients that have some of that investment exposure have an option to be able to bring it across. And we've deliberately called it the Polaris multi -- or calling it the Polaris Multi-Index, leveraging off the fantastic success that we've had with Polaris so far. So we see it as a net additive. In terms of margin, when it comes -- once we have regulatory approval, then the guys will be able to talk a lot more about what we think the margin on this is going to be and the overall picture. But suffice it to say, we're doing this because we think it's going to be the right thing for clients, we think it's going to be very helpful to our advisers, and we think it's going to be good for shareholders as well because it's going to be an incremental value and incremental FUM coming into the garden. On cash balances with Flagstone, Flagstone balances have gone up. I think they're GBP 5.2 billion at the half year. We have seen more clients putting money there. The average client balance is slightly down from where it was previously, but we have seen more clients linking in there. We are looking during the course of the first half of next year to explore what and how we might do things ever so slightly differently with Flagstone, but it's working really, really well for our clients, it's really working really, really well for our advisers in terms of being able to have that offering. And I think what it probably speaks to is just -- and you would have seen it with the banks reporting out earlier this week. It's just people saving just with a little bit of a niggle and growing uncertainty in their minds going forward, just hedging their bets a bit in terms of diversification. We're seeing good intake and good uptake in terms of as you saw flows, people actually investing in the market. But there are, I think, people as well saying, I'm just going to hold a bit of cash for the time being just given some of this uncertainty that's out there. Now cash, I believe, and I've said this to the Chancellor, is an important part of everybody's portfolio. That being said, we are concerned across the U.K. as a whole that people are probably slightly oversaved and underinvested. And that's something that our advisers are continuing talking to our clients about. It's not something, I think, our clients really struggle with, but it's a broader U.K. consumer piece. But it is something, I think, that we are mindful of. And as confidence builds, we're looking to make it easier and easier for people to be able to move from Flagstone into the SJP garden to be able to invest. And Polaris Multi-Index may provide a useful avenue, useful opportunity and catalyst to drive some of that, but let's see. Caroline, on the dividend policy.
Caroline Mary Waddington: Yes. So as we're aware, we have set our return guidance for '24 and -- or '25 and '26 as we go through the period of transition. And just a reminder, really, we set this to give certainty in the returns during a real period of change that we're going through in the business. And I know that we've had a good start to the year. We're also making good progress with our key programs of work, but I can say there is still a lot of work to do. We still got a lot of that going on. And obviously, there's a lot of sort of uncertainty in the sort of macroeconomic environment, although we can -- obviously, that stresses the importance of advice obviously. So look, as our capital allocation, it was set out, we always consider returning excess capital to shareholders when it's over and above what we can invest in the business. And you can see it from the fact the Board has actually decided to distribute the full amount of the OSE provision posttax via buyback. Look, we will keep assessing it and we will assess the longer-term capital returns that will go to the Board at the appropriate point in time, but I'm not going to preempt them by putting a date on that.
Mark Thomas FitzPatrick: Enrico, let me just -- one thing I should just mention on the first question on Polaris Multi-Index, we don't envisage that Polaris Multi- Index will cause us to have to revisit our margin guidance that we came out with previously in terms of the 43 to 45 bps post the simple comparable charging change.
Operator: Your next question comes from the line of Andrew Crean with Autonomous.
Andrew John Crean: A couple of questions, if I can. Firstly, could you -- on excess capital and assessing excess capital, could you provide some practical framework for us to assess when you hit excess capital so that we can understand and predict that? Secondly, could you talk about performance of your funds in the first half of this year relative to sort of peer groups? And then thirdly, could you talk about, whether on the redress issue, you have got advisers contributing to the redress issue where they've been serial offenders?
Mark Thomas FitzPatrick: Okay. Let me -- Caroline, are you okay to start with the first one?
Caroline Mary Waddington: Yes. Yes, I will. And Andrew, I haven't forgotten that I promised, that I promised this to you. Look, we are -- we've already started simplifying our reporting. This is all part of our simplification of our reporting, which we've started, and hopefully, you've seen that we've started to sort of refine our financial reports and focus on key metrics using a data book. So we've started that, but we're actually doing a much more holistic review, which we're doing in the second half of the year. Some of this is facilitated by the new charging structure. So I will report back on that at the full year, and giving you that transparency is very much one of my objectives. Look, I can assure you, it is a capital-light business we're running. I'm not holding assets over and above what we need for our solvency and what we need to invest in the business like the loans and the renewal income asset. But I am aware I owe you that, and I want to do that. So I will update at the full year on how I'm going to do that.
Mark Thomas FitzPatrick: On performance of funds, the funds have actually performed really well. Very, very pleased. The guys have done a fantastic job. On a 1-year basis, if I look at the new world, so kind of a like-for-like, so I've taken out the advice and platform fees, from -- at an AUM level, kind of upper and second quartile, about 90% of our AUM is in those quartiles, so performing really well. And on a 3-year, it's about 80 -- low 80s that are in the upper quartile. So really strong performance. The guys have done very well. And they kind of go into this environment with a very active asset allocation and a real opportunity to be able to focus on the very best fund managers around the world to be able to help support and guide them, and that's part of the magic of the formula. And Andrew, on the third question around advisers and the historic evidence provision, the provision is still a gross provision. We have not taken any allowance for any recoveries from advisers. For the most egregious cases, we will be sitting down and talking with advisers. As I've said in the past, we're not looking to nickel and dime, but if there is -- heaven forbid, there is evidence or lack of evidence for many years across many clients in an adviser's portfolio, then we'll be sitting down and requiring some contribution from them for this because that's not really the expectation.
Operator: We now have a question from Larissa Van Deventer with Barclays.
Larissa Van Deventer: Just one very basic question from me. With the new fee structure going live in the bank holiday weekend at the end of August, what are the key steps that need to happen to ensure that this goes smoothly, please?
Mark Thomas FitzPatrick: Larissa, there's a run book with about 880 lines that is going to run through. There is a huge amount of stuff that's going to be going through on that piece. The guys have run -- as I mentioned earlier, the guys have run through -- we've done 3 dress rehearsals now. Each one has had an element of learning, fine-tuning. So the guys have got it down. They know exactly how long each step of that 800 maybe will take. It's a fantastic team. I'm immensely proud of what they've done so far and all the testing and checking and support, et cetera. We'll have teams from around the world coming here to support us over the course of that weekend so that if there are any wrinkles along the way that we can deal with it. And we're doing it over a bank holiday weekend so that if there are any issues, we can deal with them. We need 48 hours to 72 hours, effectively just gives us the extra check and balance so that we know we can go live on the Tuesday morning with a great degree of confidence. So at this stage, we're all systems go. Clients have been communicated with, all the data, all the systems that are there, and we've got everybody on standby. At the moment, they are catching a breath, recovering from all the testing they're doing so that they're ready to stand up in just under a month's time to go live.
Operator: We have Greg Simpson with BNB Paribas.
Gregory Simpson: I have 3 questions from my end. Firstly, can I ask conceptually how you think the 43% to 45% margin evolves over time? I guess the assets ex gestation are higher margin, but you'll have more fee tiering, so the outlook in the medium term there? Second question, within your fund mix, it's quite striking that only 3% of AUM is in alternative investments when many wealth managers are keen to get that up. Can you maybe flesh out your thoughts on private markets and if you can leverage your scale to get better pricing and differentiated product for your clients? And then thirdly, I noticed SJP Asia is now Asia and Middle East. Can you maybe flesh out Middle East in -- the Middle East in terms of your current scale and offering, if it's mainly expats, and the opportunity?
Mark Thomas FitzPatrick: I'll pick up the second and third first, and then I'll ask Caroline to comment on the first. So in terms of AUM, and also, yes, it is a fairly modest percentage of the overall, partly, that has something to do with the fact that the funds that we have have daily pricing and daily liquidity, and daily pricing and daily liquidity in the private market space are natural bedfellows, so also in this space and in our offering have an important role to play. One of the things I did mention as part of -- last year as part of the strategy was that we would look at -- and this is probably well into the kind of second half of next year. We'll look at the element of how we might extend our alt offerings and what we might do with that. I'm not sure a normal daily pricing, daily liquidity is necessarily going to lend itself to that. So we're going to look at different vehicles that we might do. I am a fan of private markets. I do think they can complement an investor's portfolio well. We're seeing more and more of the economy in the private space. And therefore, we want to make sure that we get appropriate exposure to that for our clients. On the question of Asia and the Middle East, we opened up operation in Dubai about 18 months ago, give or take. It is predominantly an expat market. I was out there earlier on in June, thankfully avoiding the worst of the July heat, but I was out there earlier in June, meeting the team. It's still a small team, but actually, the opportunity out there is huge. The market out there isn't particularly well served, so we think there is a great opportunity there. There's a lot of funds there. There are a lot of young folks there. So we want to really make sure that we give them and get them onto the right discipline and the right direction of travel. The one thing I should also mention, Greg, is at the moment, Polaris doesn't invest in alts. So as Polaris has got larger, that also is going to be reducing an element of the percentage. Right, so with that, let me hand over to Caroline on the margin piece.
Caroline Mary Waddington: Yes, absolutely. No, Greg, thanks for that. And you're right. I mean obviously, as the different product mix will -- it does impact that. But that is why we have the range and we think we'll be within that. Some aspects might be up, some might be down a bit, but we're going to keep monitoring it. We're comfortable within the range. And obviously, we'll get back to you in the future obviously in longer term if we see that changing, but just it's within the range.
Operator: We have a question from Andrew Lowe with Citi.
Andrew Lowe: The client retention has improved quite a bit in the first half at above 95%. Can you just talk through the drivers of that? Is it a sort of normalization of the sort of macro environment, people feeling a little bit more comfortable? And how do you think this is likely to evolve in the future? Do you think this is a sustainable level? And how do you think this is going to be affected by your new charging structure? The second question, just following on the discussion on the advice boundary review and various changes proposed at the FCA, clearly, it's good that policymakers are looking to encourage more investment and increasing your TAM. I'm curious if you think that the retention of high-value customers at D2C models and maybe also banks can be improved by this. And I'd love to know just in a bit more detail if you could break down where you're winning business from in terms of the gross flows. So specifically, D2C and banks, how meaningful is that in terms of your growth flows?
Mark Thomas FitzPatrick: Andrew, thank you. So in terms of client retention, we are very, very pleased with it. We're pleased, it's kind of back up the levels that we saw of old. Partly, that is an element of our story, our brand and the narrative around SJP having improved, having settled down significantly. Main part of that, though, is down to the fantastic job the very professional high-quality advisers do, supporting clients, engaging with them and really demonstrating the true value that they bring to the conversation. The average duration of client- adviser relationship is nearly 10 years. I mean it is very, very impressive. And I think all of that helps to build up the element of client retention. We're also bringing in more young clients, younger clients than we have in the past. We've got a good uptick in clients in their early 30s. So getting them engaging, investing early on, it's just so, so important. So if we can get that practice in early, that will also just help to drive up client retention because in an ideal world, those will be clients for the next 30, 40 years and et cetera in terms of as we go forward. In terms of AGBR, yes, I'm delighted that policymakers have got together, Treasury, FCA, the market. The way they've done it has been exemplary across the patch. So absolute hat off to the FCA and Treasury for what they've done and the government for really leaning behind this, the Chancellor and the Economic Secretary really trying to drive this through. The element of where do we think this is really going to buy, I think this model is likely to be -- the targeted support model is likely to be a digital model because it's going to need to be very lean. As soon as somebody personal, a human is engaged, you can't unhear what you've heard. And if you hear something that kind of breaks you out of targeted support, you're then in a more challenging situation with that potential consumer. And as for the flows from our business and the pensions and the like, it's a broad smattering of consolidation, ongoing regular premium and kind of single premium elements that come through. We're taking from elements of a lot of the insurance companies and a number of the other platform providers along the way. So I know all the banks are really focused in terms of the Advice Guidance Boundary, very interesting opportunity for them. I think the answer to this is going to be the quality data and digital technical experience.
Operator: Your next question comes from the line of Ben Bathurst with RBC.
Benjamin Edward Bathurst: Three from me as well, if I may. Firstly, what's the client feedback been on the changes to the charges following the communications you've put out in recent weeks? Has that landed how you had hoped? And are you confident that clients are able to understand the changes? And then secondly, on the flow outlook, I wondered, is your base case that there will be a period of adjustment for advisers from September that might slow down flows for a period post the changes? Or are you hopeful of a sort of seamless transition there? And then thirdly, any update on plans to potentially acquire more businesses as part of the BSP process? And were you any more active in this respect during the first half?
Mark Thomas FitzPatrick: So let me -- I'll deal with the first two, and I'll ask Caroline to pick up the third one. In terms of client feedback, well, as you can imagine, we spent quite a lot of time with client focus groups, we spoke to partners as well, and we had communication experts in, talking and helping us actually craft the letters and the messages that went to the client. So in theory, it's kind of as close as designed by clients for clients, if you will. When I asked my chief operating officer the other day what kind of uptake have we had in terms of inbound on the letters and the like, he said, I think last counter, there was something like 51 inquiries, so nothingness on that side. And I think while we as an organization have agonized over this for nearly 2 years while you as analysts in the market have been very reflective in your modeling, et cetera, and while the media and the regulators have agonized over this, from a client perspective, actually, it's not a major event in their lives because ultimately, what they're doing is they have huge faith and trust in their adviser. They have a long-term relationship with their adviser. The underlying fee component isn't changing massively one way or other. So I think as far as many clients -- the vast majority of clients, they will see a modest decrease along the way. And I think that will probably -- all those factors contributing to the kind of level of feedback we are not getting. In terms of flow outlook, as you can imagine, we have been spending a lot of time with all our advisers, trying to support them. One of the frustrating pieces around this program is it's taken so long. One of the upsides in it taking so long, it's given our advisers time to come to terms, get their head around, prepare us to help them and support them, prepare for this new world. So they've all done online training. They've all done God knows how many webinars and support sessions. So they're all prepared for what needs to -- or what is about -- what they're about to embark upon. And from earlier this month, we have been making available to our advisers for them to make available to clients, if clients wish it, dual illustrations. So they're effectively beginning to talk to clients in that new world during the course of the back half of July and will be throughout the course of August along that way. So that, I think, will also just give the advisers an opportunity to actually road-test and -- what they've learned and engage with clients ahead of it actually going live because all these kind of things generally, especially a pension transfer or an investment bond, these things are weeks, months in the making, in conversations and discussions with clients. So don't expect there to be a major shift. I think we will see August being very slow just by virtue of what it is by virtue of holidays. When we move into September, that's normally everybody coming back, and they'll come back in the new element that if you're looking to consolidate your pension, if you're looking to invest wisely, you'll be continuing these conversations with your adviser, there shouldn't be a major dislocation. Hopefully, those aren't famous last words. Caroline, for you, on BSP, please.
Caroline Mary Waddington: Yes. Ben, as you know, we have got a small number of investments across the partnership. We've used them when there's been -- sort of facilitating succession where we're confident it's a good use of shareholder capital. And we're going to take this philosophy going forward. We're open-minded as part of some succession to take stakes, but we've done nothing in the first half of the year. And look, it's not going to be a major sort of significant part of my capital allocation policy, but we're open-minded.
Operator: We now have Charles Bendit with Rothschild & Co Redburn.
Charles John Douglas Bendit: I had one on the upcoming fee structure change and another on performance. So first of all, I think adviser economics are improving as part of this change, from 50 basis points ongoing to 55 basis points ongoing. How does that stack up versus what advisers can make elsewhere? And how much of a difference do you think that might make to SJP's appeal to new advisers? And as a follow-up, longer term, do you think the portion of the 80 basis points advice fee might shift further in favor of advisers? Or do you think that's now set? And then my second question is on performance. I think the fee structure change is going to have a very positive impact on performance metrics. How important do you think that will be reputation-wise for SJP?
Mark Thomas FitzPatrick: Charles, thank you very much indeed. On the adviser ongoing advice component, you are right, it has gone from 50 bps to 55 bps. I don't plan on changing that apportionment anytime soon. I think we need to get into the new world, see how everything settles down in that regard. I think the element of the overall fee structure that we are coming out with is very much in line with what I think we see in the marketplace. It's very, very competitive. From an adviser perspective, I think there are many reasons advisers come to SJP. The element of the fees they earn is one component. The element of the breadth of the products, the quality of the products, the quality of SJP that stands behind them, the element of the guarantee that we provide for the advice that they provide, the support that we can give the academy and then ultimately the BSP component that Caroline picked up with Ben a short while ago, those are all key components of the proposition for our advisers. And you might expect me to say this, I honestly believe we have the best-quality advisers in the market. We have far more chartered and fellows of financial planning in the market. It's a great, great community of advisers, and they do their clients proud. So it's across that mix that we think. And the fact that we are now aligning more closely with the market, I think there were some people that we've been interested to try and get them to join SJP for a little while, but they weren't big fans of the early withdrawal charge structure. In light of the new change, we are having conversations with some of them, and some of them are chatting to us about actually what life might be like in the new world and whether they might make a step across. So let's see what happens with that. Secondly, on performance, you're absolutely right. It will be a significantly positive change. Removing the advice fee and removing the platform fee in the new world will give rise to effectively a reduction in the costs that come off our fees of about 107 bps. So it will be a significant improvement in our relative standing, and I think that will, a, go some ways to improving reputation in the marketplace, but it is important to point out that while investment performance is a very important part of what we provide, what we also provide is the peace of mind through long-term financial planning. The two go hand-in-glove. But the fact that actually we have such strong performance to date and we have now this new headwind -- or this tailwind rather that will come in on our relative performance, we think, will stand us in an exceptionally good stead. So thank you, Charles, for those questions. Folks, I am conscious that we have -- we have run quite long, and we've got a meeting very shortly with the shareholder. So I was minded to draw stumps there if that's possible. I think we've had questions from everybody at this stage. And if anybody has a second round of questions, please do link up with the IR team. But just in conclusion from my side, we did say that this year would be another year of heavy lifting for SJP. I'm pleased to say that we're making good progress as we strengthen the business for sustained growth and success. We continue to perform well, delivering a strong outturn for our flows and our financials. So we're a business in good shape. Our direction is clear. We are the home of advice, and we look to the future with confidence. I look forward to talking to many of you in the coming days. But for now, thank you for your continued support, and good luck with what is a very busy day and busy week. Thank you.